Operator: Good morning, and welcome to the Ranger Energy Services First Quarter 2018 Conference Call.
 [Operator Instructions] Please note this event is being recorded.
 I would now like to turn the conference over to Darron Anderson. Sir, please go ahead. 
Darron Anderson: Thanks. Thank you, operator. Good morning, and welcome to Ranger Energy Services' First Quarter 2018 Earnings Call.
 Joining me today is Rob Shaw, our CFO.
 I would like to start the call by thanking our outstanding workforce, who are committed to the success of Ranger and delivering the strengthened results that we're about to discuss.
 If there is a theme for the quarter, I would say it is improving metrics across the board. Overall, revenue for the quarter increased 25% to $62.6 million. This increase was driven by growing demand and strengthened pricing within our well servicing business and continued growth from our wireline completions business. Across the quarter, the market experienced a WTI price increase of just over 8% from $60 to $65 per barrel. While this increase was modest, it resulted in greater demand for our 24-hour completion rigs demonstrated through a 10% growth in our completion rig hours quarter-over-quarter. We've always stated that our high-spec rig fleet has the capability to transition to completion work in an improving commodity price environment. This quarter showed early evidence of that transition.
 In addition to increased demand, our well servicing revenue growth was also fueled by successful price increases. This is an initiative that we've discussed during our last 2 quarterly calls. Across the quarter, we experienced an average rate increase of 7%, resulting in an overall increase of 10% since our initial pricing efforts began. Not all of this increase was due to pricing alone but also the result of an improved regional mix and completions work. Our success in this area demonstrates the demand that our customers have for our high-spec rigs and the quality of services we're delivering to our -- to their operations.
 Continuing with the theme of completions. Our wireline completions startup and growth continued to deliver outstanding results. During the quarter, we increased our unit count by 2, for a total of 6 units in service at the end of the period. All of our units are being utilized on dedicated frac work, resulting in 100% utilization. Revenue for the quarter increased nearly 3x versus last quarter due to our expanding fleet and increased pricing within this service line as well. These results clearly demonstrate our ability to execute at completions or in a startup that is delivering a meaningful contribution to our business within 2 quarters.
 Our Processing Solutions segment also experienced strong revenue growth driven by completions activity. Revenue for this segment was up almost 24% for the quarter.
 While I'm proud of our top line growth, I believe our profitability growth is the real success of the period. Previously, I've been asked if our price increases would simply cover rising labor costs or would we experience improvement to our overall margins. I'm glad to report that our gross profit margin in our Well Services segment increased from 13% in Q4 to 16% this quarter. This was accomplished in part by achieving price increases greater than labor cost escalation and overall better cost management. Additionally, we have completed the ESCO integration and established a reduced go-forward cost structure. All of these actions resulted in an adjusted EBITDA increase of 37% to $5.2 million for the quarter.
 In summary, we are very pleased with the quarter and the current position of our business.
 We are 7 months post IPO, and most of our integration efforts are now behind us. Our platform is solid, and we are now directing our energy from internally focused efforts to external market growth and meeting our growing customer demand.
 I will now turn the call over to Rob to give a few more details on the quarter. 
Robert Shaw: Thank you, Darron.
 During the quarter, revenues increased 25% to $62.6 million from $50.1 million in Q4. The increase was mainly attributable to 2 main areas: the increased activity of our wireline completions business and higher hourly rates for our high-spec rigs in the Well Services segment.
 Revenues by segment were as follows.
 Well Services segment revenue increased 25% to $59.7 million in Q1 2018 from $47.7 million in Q4 2017. Our high-spec rig activity revenues increased 13% to $37.6 million in Q1 versus Q4 mainly due to average hourly rate increased 7% to $487 on improved pricing and stronger revenue rigs -- mix driven by a sustained increase in our completions work. Given the many moving parts in our business, it is difficult to give a precise breakdown of the impact of pricing versus regional mix versus completions and production activity. Total hours, rig hours, increased 5% to approximately 73,600 hours in Q1 from 69,800 in Q4. Our completions activity hours increased 10% to approximately 1/4 of our total hours.
 For the quarter, the average number of rigs in our fleet increased to 134 rigs from 130 in Q4 2017. During the quarter, 2 rigs were delivered; and 6 new rigs entered service, of which 5 were delivered in Q4 2017 and 1 in Q1 2018. At the end of the quarter, we had 137 rigs delivered, of which 136 were ready for service. The remaining rig deliveries are expected to be 3 in Q2, 2 in Q3 and 2 in Q4. Rig utilization as measured by average monthly hours per rig increased slightly to 184 or approximately 76% utilization from 179 in Q4 2017 or 74%.
 Revenues in our Permian Basin wireline completions business increased by close to 3x quarter-over-quarter with a full quarter of increased activity and 2 new trucks delivered in the quarter. As a result, our other Well Services revenue increased to $21.1 million in Q1. At the end of the quarter, we had 8 wireline trucks, 6 doing completions in the Permian Basin and 2 doing mainly P&A work up North. 2 additional trucks are being delivered in Q2 to our Permian Basin completions business.
 Processing Solutions revenue increased to 29 -- $2.9 million in Q1 2018 from $2.4 million in Q4 2017 mainly due to increased mobilization revenue. We had 22 out of our 25 MRUs contracted; and are having 2 additional MRUs and rental equipment delivered in late Q2, early Q3, for a total of 27 MRUs. We expect higher utilization by the end of Q3 2018.
 During the quarter, operating loss increased to 8 -- $10.8 million from $5.2 million in Q4 2017. The company wrote off all of its $9 million of goodwill. In addition, we had a $700,000 loss on the sale of idle noncore equipment in the quarter. This equipment was mainly unused frac tanks inherited during previous acquisitions, which obviously did not fit in our operations, as well as the sale of some older pickup trucks. Excluding the $9 million goodwill impairment and the $700,000 loss on sale of equipment, the operating loss improved by $4.1 million to $1.1 million, as compared to 2017 -- Q4 2017. And this was mainly due to an improved gross margin.
 Regarding our gross margin -- profit in Well Services of $9.8 million, it increased $3.5 million on a revenue increase of $12 million, a 30% flow-through.
 Depreciation and amortization was flat at $6.1 million for the quarter. Depreciation in the Well Services sector increased mainly from delivery of rigs, offset by reductions in depreciation in Processing Solutions. For the full year, we expect depreciation to be between $26 million and $28 million.
 We had a tax benefit in Q1 2018 due to our net loss. For modeling purposes, the effective tax rate is 7.7% for 2018.
 During the quarter, net loss increased by $5.2 million to $10.8 million from $5.6 million in Q4 2017. Adjusted EBITDA increased to $5.2 million in Q1 2018 from $3.8 million in Q4 2017. The increase was mainly due to increased revenues from our wireline activity, higher hourly -- higher average hourly rates for high-spec rigs resulting in higher gross margin and profit in Well Services, partially offset by higher underlying general and administrative costs. G&A for the quarter, excluding the $700,000 loss on equipment sales, was $6.3 million, approximately 10% of debt.
 Regarding liquidity and balance sheet.
 Cash flow. Net cash used in our operating activities was $1.1 million for Q1 2018. The sharp increase of our wireline business increased accounts receivable and accounted for most of the net increase of $6.5 million in receivables. We expect collections to normalize going forward. Despite this, our DOS was approximately 50 days at March 31, 2018. The accounts payable use of cash was 2 -- $1.2 million. Within this number, payments -- or use of cash was $3.1 million for the payment on rigs in our deferred payment program.
 Net cash used in investing activities was $11 million for the quarter ended March 31, 2018, which includes offsetting asset sales proceeds of $1.2 million. The $8.2 million capital expenditures consisted mainly of spend on wireline trucks, process solutions equipment and rig ancillary equipment. Not included in these numbers was $5 million of noncash asset additions for rigs delivered in the quarter but not fully paid for, and $1.3 million in assets purchased via capital leasing financing during Q1 2018. This is mainly for pickup trucks.
 Financing activities. Net cash provided by financing activities was $7.9 million for Q1 2018 and consisted mainly of $15.6 million of borrowings under our line of credit offset by $7.7 million of final payments on a capital lease of -- for certain rigs. The borrowing capacity under our $50 million line of credit based on eligible accounts receivable was approximately $32 million as of March 31, 2018. The borrowing base under the credit agreement is expected to grow as our business expands.
 Thank you, and I will now hand it back over to Darron. 
Darron Anderson: Thank you, Rob.
 So where do we see our business over the coming quarters and the biggest drivers to getting there. I think one important item for everyone to know is our Q1 results ramped across the quarter. As I mentioned earlier, we entered Q1 at WTI price of [indiscernible]. As we currently find ourselves falling between a $65 to $70 commodity price, we continue to see the trends of our business improve. And the Permian Basin leads the market in drilling activity and resulting completions. The spacing will continue to improve as efficiency gains are being sought by our customers. Select basins with considerably lower rig counts are seeing improved activity from DUC wells moving into completion mode. We expect to see considerable revenue growth from our continued focus on completions activity both with our rigs and ancillary services. The asset additions of high-spec rigs, completion wireline units and MRUs that Rob mentioned earlier will further enhance our revenue growth. And finally, redeploying the idle acquired rigs from ESCO into regions such as the SCOOP, STACK and our Northern regions are underway.
 Our margins will benefit from our ability to maintain our fixed-cost structure in a growing revenue environment, continuing with the operating cost controls in place post conclusion of our previous acquisition integrations and continuing to focus on price increases that outpace labor inflation. And finally, we will continue to selectively invest in high-return assets that support well completion activities. We believe the successful execution of these strategies, combined with investor confidence and an overall improving market, will lead to an appreciation of our stock price, thus creating the opportunity for strategic, accretive acquisitions.
 In closing, I want to thank all of you for your continued support of Ranger.
 And operator, I will now open up the call for questions. 
Operator: [Operator Instructions] And our first question comes from James West with Evercore ISI. 
James West: Darron, so you talked about the kind of [ settled ] improvement during the first quarter, which I -- some of that is going to be natural, I think, from just the seasonal impacts to the business, but it sounds like the velocity was more than just [ during ] the seasonal February better than January, March better than February. And now here we sit in May. Could you kind of characterize how you see the second quarter playing out? It sounds like from some of your competitors and other peers in the industry that 2Q is going to be kind of a pretty healthy quarter across the board. Is that -- I mean, is that a fair characterization for Ranger? 
Darron Anderson: I think that's a very fair characterization, yes. The Q1 was a ramp-up, as I mentioned. So the January results were very different than, of course, the better results that were achieved in March, partially because of the seasonality impacts going away. A lot of other services are generated in our northern regions of the Bakken and in DJ Basins. And as a result, we have to battle with seasonality, but outside of that, we did have the benefit of growing completions activity, as we talked about the growth in our completion hours from our rigs, that was 10% growth, as we look at our wireline activity which is dedicated to the completion-side pump down perforating. So as we're coming into the Q2, the business is trending strong. It will be better than Q1 results, I'd like to say, in a material way. We don't give guidance, as you well know, but we're very, very excited of how the quarter has started and keeping with the trends that we saw at the end of Q1. 
James West: And Darron, how are the pricing discussions going with customers, particularly related to completions? Given that your pressure pumping pricing is pretty solid and probably starting to -- at least I know I'm not consensus on this, but starting to slowly get to the upside. But it's become such a big component that I would think other services around the completion, like your rigs, would have no problem getting net pricing because nobody wants to hold off a completion job at this point. They're so expensive. 
Darron Anderson: Yes. So I would say there is that. We've had success pretty much across all the basins from price increases, of varying levels of increases, but I would say success across all of them. When you get to areas like the Permian, and I mentioned the comment of efficiencies, we're seeing operators right now willing to pay up for more efficient services. So as a result of that, some of our completion rig activity, our wireline activity, where we've been able to demonstrate that we can save time that translates into money, we're able to capture that in value from price increases. So I think the efficiencies will be the biggest driver to getting the greatest price increases, on top of just what the market is giving from a commodity price improving environment. 
James West: So it's fair to say then that, while operators may have, as they ramped up, were just kind of happy to have crews or have rigs or pump down perfs, that now we are seeing that true kind of operational excellence versus just the normal -- I don't want to call it commodity, but less-excellent operators. You're seeing that differentiation. So if I were to -- and I know you're not going to give me the details if I were to compare one of your rigs versus, say, a competitor's rig, you would have a -- probably some type of net margin advantage over them because of that differentiation. 
Darron Anderson: I think that's a great characterization of what we're seeing in the market, and especially in areas like the Permian, where laterals are getting longer. Pads are becoming more intense with well counts on them, more zipper frac opportunities. And so these service providers who've had the asset base and the service quality to execute and deliver in that environment are being rewarded from a pricing standpoint. 
Operator: Our next question comes from Blake Hutchinson with Howard Weil. 
Blake Hutchinson: I guess, first question. When we think about the shift in -- towards completion rig hours, one of the profit drivers that you start to have to drive these significant increments is the rent out of ancillary equipment. I'm just trying to get a gauge of where you are in terms of, I guess, ownership or utilization maybe of what's in most demand, whether it's power swivels or well control packages; and that you have capacity there to deploy versus going out to a third parties. So just a general kind of assessment of where you are in terms of the ancillary equipment utilization. 
Darron Anderson: No, that's exactly right. It's the power swivels. It's the high-pressure pumps, hydraulic catwalks, BOPs, all of the things you mentioned there. So we are fairly [indiscernible] with the asset base that we do have. As we've talked about the CapEx for 2018, on the rig side most of that CapEx as far as new CapEx for '18 has been directed toward the ancillary equipment, not necessarily for additional rigs. So we continue to have growth in demand in that area. I think the biggest change that we're seeing there is that with laterals getting longer it is requiring greater horsepower on the pumps and bigger pumps. And so I think with the newer pumps that we have delivered we're able to participate in that market. So currently we're still able to satisfy pretty much all of our ancillary services or equipment on our rig packages, but it is requiring some additional investment that has occurred and is in the budget for 2018. 
Blake Hutchinson: Okay, I'd take that as, more or less, sold out is a good thing, though. So that's good color. And then just, Rob, I wanted to go back to your -- to just [ do more reset ] on your kind of receivables, payable discussion. I guess, at the beginning of the year, if we go back to the 10-K, you had $37.6 million due on the newbuild rigs. And $23.5 million was in payables. Did you say $3.1 million was in the payables now? And then... 
Robert Shaw: That was what was paid out, yes. That was what was paid out. 
Blake Hutchinson: That was what's paid out. Or that -- what's currently recorded in terms of your commitments in the payables number we see? I'm just trying to get a natural gauge of like your -- what would be a more natural receivables-payables balance without that big chunk of rig commitments in it. 
Robert Shaw: It's -- I'll get back to a more precise number, but it's approximately $22 million or so. 
Blake Hutchinson: Okay, so it should just be that original number minus the $3.1 million is -- it would probably be about right. Okay... 
Robert Shaw: We'll be adding -- as we get rigs delivered, that'll be added. And then we have some payments coming due each quarter, so that'll -- it'll be in a bit of a flow-through. 
Blake Hutchinson: Okay. And then, I guess, just so we understand this: As you take on these rig commitments, is there a significant kind of working capital build in front of each rig that's worth calling out or that might keep that... 
Robert Shaw: Not really. I mean I think, for us, we're comparing to the wireline business. Our wireline business, there were a lot of newer customers. And I won't go into the mundane aspects of collecting on AR in bigger customers, but that -- it takes a while to get set up. When we're rolling out rigs, one, they -- basically the jobs are 2 or 3 days. So as you're [ putting ] your AR, it's fairly smooth. And they're generally with existing customers, so you don't have to -- in terms of setting up your MSAs, setting up your ADP OpenInvoice, all that kind of stuff, it's pretty smooth. So yes. I mean, if you look at our -- we had a use of cash, but if you strip out some of the accounts receivable buildup as we -- on the wireline side, which accounted for most of that $6.5 million, plus the $3.1 million, we actually did -- we had some good flow-through from EBITDA to operating cash flow. 
Operator: Our next question comes from Daniel Burke with Johnson Rice. 
Daniel Burke: So on the wireline side, small numbers but growing quickly. Can you talk from that perspective? Can you talk about the timing of the addition of the next 2 trucks? Will we see them in Q2? Or are they more towards the middle of the year, so more of a Q3 impact to the model? 
Darron Anderson: No. So you will see them here in the back half of Q2. We'll have one that will be going into service in the second half of May here. And the next one will be coming online in June, so we'll get about 1/3 of the quarter of the 2 units. And then we'll have the full impact of a full 8-unit fleet in the third quarter. 
Daniel Burke: And then I guess, last quarter, you guys had mentioned the investment in the well test business. It looks like we could see that, I assume, in the asset acquisition on the investing cash flow statement. Can you talk about maybe what you've done with that business initially? And I guess also I just want to confirm that revenue would -- revenue associated with that service would pop up in the other Well Services category. 
Darron Anderson: It will appear in the other Well Services category. We acquired those assets in the beginning of February, so we only had 2 months with those assets. And I'd say, similar to the wireline side, it's kind of first quarter of getting the business started. We're starting to produce results in the second quarter, so. We're excited about the business. We had to mobilize assets from the 4 corners of Mexico and get assets into the Permian, so we've got everything positioned in the right places and starting to penetrate our customer base. So I think we'll have a better report on that when we report Q2 results, but we're happy with our progress thus far with that business. 
Daniel Burke: So can you help me understand what the utilization is of that equipment right now? I don't know if it's easy to speak to that or not. 
Darron Anderson: Yes. So I think we don't get into depth of utilization on the other services, but I would probably say we're running 60% range on that business. Again it was a situation to where we acquired existing assets from an operator -- or a service provider, but they were basically in the wrong basins. And they were not in the shale plays that we're most active. So we were able to get the assets for a good value but treat it like a new organic type of business. Remobilize the assets and penetrate some of our existing customers that we have on the rigs in the wireline side is what we're doing now. 
Daniel Burke: Got it. And then maybe just one last one. Darron. I think I heard you correctly. Maybe I didn't. You -- I think you alluded to improved regional mix in the context of improved price for well service. I was wondering. Did I hear you correctly? And if so, could you explain maybe what the shift was? How -- what region supports overall growth in realized revenue per hour? 
Darron Anderson: Yes. So we've always stated that depending on what part of the U.S. or shale plays you're in, you have a different revenue-per-hour contribution. As you probably well know, the Northern operation is going higher -- have an higher revenue per hour, but it's also higher cost basis in that area as well too. So without going into specific basin details, what I'd say is that there are regions that aren't getting the drilling activity notoriety, but we're seeing improved DUCs going into completion mode. And we're shifting more rigs that were traditionally work in production on to 24-hour completions. And then we're able to shift some of our idle rigs from the ESCO acquisition to those basins as well. So we do have some particular basins again that aren't catching the headline, but we're seeing marked improved performance within those basins. So it's not just a Permian-driven story right now. I think Permian is an area that we still have more work to do, especially on the rig side. And that's because operators are still trying to get efficiencies. "We'll do great 24-hour work. We'll catch up to a frac crew. We'll catch up to a drilling rig, and we'll be shut down for 2 weeks." So that will work itself out. And that, it's going to create the opportunity for upside in that basin, but in some of the -- of our other basins that are seeing some unexpected increases, again the rig activity is not there but the DUCs and the completions is what's driving it. 
Operator: [Operator Instructions] And our next question comes from James Wicklund with Crédit Suisse. 
James Wicklund: It looks like you caught up with your business plan. Congratulations. 
Darron Anderson: Well, thank you very much, Mr. Wicklund. 
James Wicklund: No, that's critical. That's pretty good. The rigs working 24 hour. I know that the lateral length has been getting longer for -- since we first -- drilled the first horizontal. And they continue to get longer. People had been using coiled tubing more longer, later than many had expected. And the adoption of service rigs to completions kind of wasn't happening as fast as we thought. That seem to have changed in Q1. Did coiled tubing price itself out of the market? Is there a change in technology? Is it just finally here? And I guess the real question is should you continue to grow that part of your business through the course of the year? 
Darron Anderson: Yes. So that part of our business will continue to grow across the course of the year. As I mentioned, the commodity price change that we saw, although it was modest, sparked some additional completion activity. And I think the drivers... 
James Wicklund: Yes, I understand, Darron, but why did it spark additional completion activity using service rigs? 
Darron Anderson: [ So I was going to say ], I think, number one is like you said. The pricing of coiled tubing is high. And so you look at the economics. I think operators are making a cost-based decision, but also, number two is the operational risk. I was on a location of one of our major customers in the Eagle Ford in South Texas 2 weeks ago. And we had a rig on location. They were fishing coil. As soon it left that well, it was going to another well to go fish coil. And so I think the operator risk is a -- is becoming a greater concern and pushing the limits of coiled tubing. So it means longer-lateral wells. I think that's a driver too. When you look at the Permian Basin in particular, again those laterals are getting longer, and so with the Permian Basin we're still able to use coiled tubing in a lot of the wells. With laterals getting longer, now you're reaching the tactical limits. And we're starting to see more of a shift there, so it's a combination of operational, engineering and pricing that we're starting to shift above just a commodity price increase. 
James Wicklund: Excellent. Excellent explanation. You've got 2 wireline trucks left up North during P of A -- P&A, plug and abandonment. Why? 
Darron Anderson: Well, P&A is [ a catchment ] in other Well Services. And so we do have a decent P&A business that is not just wireline. We have rigs that do that as well too. I will say those units are older... 
James Wicklund: But that's going to break your heart, not being able to move them, though. 
Darron Anderson: Well, I will say those are older units that are -- weren't purposely built and designed for some of the completion-type work. And so even if we had more [ to abandon today ], they're not the right assets to move into the Permian Basin. They're truly P&A-type, older-style trucks that really don't fit in completion mode. 
James Wicklund: Okay, that's helpful. And the trucks that you're adding, how much do those cost you? And if I could, who supplies your wireline trucks? We know you NOV builds your workover rigs. 
Darron Anderson: I will say that we use a very reputable vendor who's building some high-quality equipment for us. And as far as pricing of them, I won't get into those specifics, but I think that we're very, very happy with the returns that we're getting on those assets... 
James Wicklund: That's really the issue. That's the issue. It's the returns you're getting, not the price. 
Darron Anderson: Yes. We're very pleased with it. 
Operator: Our next question comes from William Alpaugh with Simmons & Company. 
William Alpaugh: For the wireline business, what was the percentage contribution to revenue and EBITDA for the quarter? 
Robert Shaw: We don't -- really not going to go into those. I mean it's a one-basin activity. It's a pretty -- it was a very good-margin business. I don't think -- given from a competitive standpoint, I don't think we want to go into the details on that. 
William Alpaugh: Okay, fair enough, but switching over to -- for the well service rigs. As utilization improves quarter-over-quarter, can you discuss some of the things you're doing to get utilization back up to pre-ESCO levels and the trajectory for the year for utilization? 
Darron Anderson: Yes. So one of the things I mentioned is mobilizing some of our idle rigs, which this is the first quarter we've been able to do that. That was always the strategy. We did the ESCO acquisition,  is that we are acquiring high-spec rigs that, that when the market did allow, we'd have the ability to move those into other basins. And so this is the first quarter we've been able to actually execute on that strategy and move rigs into basins to where utilization is very high. So we will continue forward with that strategy. I think from the 24-hour completion work is a big driver on the utilization calculation, and that is a major focus for us internally. It's trying to target the right customers who have sustained drilling programs and has a volume of well counts in front of us to where not only we can get 24-hour completion work but we can get non-interrupted 24-hour completion work. So I think, if we execute on those 2 strategies, target and completions, and mobilizing the other rigs out to other basins that have a demand, we'll start to see the increase in utilizations. 
Operator: Our next question comes from John Daniel with Simmons & Company. 
John Daniel: So I -- look, I have a strategic question for you guys. You've done a good job of ramping the workover rig business. You've got what appears to be a very nice wireline business now. Both of those segments are pretty fragmented. And I'm -- and you alluded to some possible M&A desires, I think, in the prepared remarks. I guess, as you -- and we live in a world of all else being equal and assuming [indiscernible] your acquisition capital, if you will, Darron? 
Darron Anderson: John, I apologize, but we -- your phone cut out. And we heard you say, "assuming all things being equal," and we lost you. 
John Daniel: Okay. Sorry. I'm driving here. My question just relates to the -- to M&A opportunities. And all else being equal, would you rather allocate M&A capital, if you will, to the wireline business or further consolidation of workover? And why? 
Darron Anderson: So allocation of M&A capital. I think, with the organic results that we have on the wireline side, our investments are best suited to stay on the organic path while we're getting the returns that we're getting right now. So that's a very, very easy answer. I think, on the well servicing side, again we remain open and looking at options for acquisition targets there. I think, as we said, whether it was the road show or post, we're going to be careful and strategic. We still like where the market is today, where the market is going. The high-spec rigs is the future of the business in the well servicing side, and we're going to be careful not to go out and acquire assets that does not apply to market on a go-forward basis. So we will be selective, but yes, we're still open to those opportunities. I think you see and know where our share price is. And I think right now we're focused on execution and continue to delivering quarters like today and growing that even further, getting the stock price appreciation and being able to execute on some of the opportunities that are existing out there in the market. 
John Daniel: Fair enough. I know you hate modeling questions, but I'm going to try to get you to answer a couple, if that's okay. 
Darron Anderson: Sure. 
John Daniel: Again I'm going back to the all else being equal, but just as you -- from a margin perspective, Rob, with no payroll taxes in Q2 which you get hit with in Q1, is it safe to assume at least 100 basis points or so of margin uplift just from not having that impact? 
Robert Shaw: I would say it's going to be the margin impact is really going to be more in -- more due to the seasonality. During Q1, we had -- in our other services and in some rigs, we had some setbacks due to weather and some customer interruptions. And we see, as those -- in some of those, we decided to keep the people and keep the costs because we knew it was coming back right away. So we had some lower margins in some of our businesses than we should have. So that's where I see -- the biggest increase in Q2 is those sort of what I'll call more fixed-cost businesses picking up revenues and having that flow down to the bottom line. 
John Daniel: Okay, fine. By the way, good rig hour growth Q1 versus Q4 relative to some of your peers. Plus or minus 5% in Q2, Darron, in terms of rig hour improvements? [indiscernible] that? 
Darron Anderson: Somewhere in that range. 
John Daniel: Okay, all right. 
Robert Shaw: [ close enough ]. 
Darron Anderson: Yes -- no. We're going to see rig hour growth. I mean we are. And we're excited with the direction of the business, and the metrics are still pointing in the right direction. So... 
Operator: And showing no further questions at this time, this concludes our question-and-answer session. I'd like to turn the conference back over to Darron Anderson for any closing remarks. 
Darron Anderson: I just want to thank everyone for, again, their continued support. I also want to thank the Ranger employees who are on the call today for all the hard work they're doing.
 So again, we're all committed to continue to improve results and having even better quarters. So thank you all, and we look forward to visiting after Q2. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.